Operator: Good afternoon, everyone, and welcome to Mapfre's Results Presentation for the First Nine Months of 2021. This is Felipe Navarro, Head of Investor Relations and Capital Markets as well as Corporate Treasurer. Fernando Mata, our CFO, will walk us through the main figures and highlights of the quarter.  As a reminder, additional information can be found in our website, including the MD&A as well as the usual spreadsheets. At the end of the presentation, we will open up the Q&A session. You can submit your questions using the Ask a Question link on the bottom of your screen. We will try to answer all questions as time allows. The IR team will be available to answer any pending questions after the call.  Before we start the presentation, I would like to give an overview on how the pandemic is developing in our main markets. As you're aware, infection and mortality numbers are coming down at global level. This allows us to feel more optimistic about the outlook of the pandemic with more countries close to reaching some form of normality as vaccination rates should continue to increase, but at a slower rate. At the end of September, around 96% of employees in Spain were working from premises, 78% in the US and 89% In Brazil. We will continue adapting the changes in conditions in every country.  Now let me turn the call over to our CFO, Fernando. The floor is yours.
Fernando Mata: Thank you, Felipe. And thank you everyone for being here with us. Before I go into the details, let me start by saying that we are very satisfied with our third quarter results. Performance at the insurance units was in line with expectations, showing that they were on track to meet the guidance announced at our AGM. Top line performance was excellent and it's worth highlighting strong local currency growth in Spain, Brazil and also Mexico. The normalization of economic activity and lifting of restrictions should continue to support premium trends.  There were three main elements impacting third quarter results. One, regarding COVID claims. There has been a normalization in mature markets and reinsurance business. Life protection and health claims in Latin America continue at high levels, but improving compared to previous quarters. We expect these improvements to fit into results in the coming quarters.  Two, in general, the normalization of economic activity has led to an overreaction in mobility, causing the motor combined ratio to increase. On the other hand, we are also seeing positive trends in other lines, like homeowners and health. In the end, we should expect the ratios to normalize in the coming quarters.  Last, in terms of nat cat losses, it has been an active quarter, with the Bernd storm in Germany and Central Europe being the most relevant event. In order to offset these cat losses, we opportunistically took advantage of market conditions, realizing a significant amount of capital gains fundamentally in equity. In Iberia, we continued to outperform the market in premiums in key non-life segments, with very good growth in life, while maintaining strong underlying technical margins. Reinsurance and global risks are also consolidating positive trends on the back of tariff increases. Despite the active nat cat quarter, the combined ratios are still down over 4 points year-on-year.  In the United States, results are resilient, thanks to the streamlining process over the last few years. And the Northeast continues to be the largest contributor to profits. Brazil is also well positioned with improved metrics as the economy recovers.  Finally, I would like to highlight our strong capital position with a Solvency II ratio of 195% at the end of June, which is in line with our risk appetite.  Dividend upstreaming continues to be strong at subsidiaries, and the board has approved an increase of €0.01 to reach €0.06 interim dividend to be paid on November 30, one month earlier than usual, in line with the group's commitment to returning to a sustainable dividend.  Now I will comment on some of the main figures. We are on track to meet our guidance. Premiums are up 7% in US. At constant exchange rates, growth was over 10% with strong trends in both life and non-life. Currency movements reduced growth by approximately 3 percentage points, but have been less of a drag than the previous quarter. On the other hand, the renewal of a multi-year policy in Mexico added approximately 3% of growth. The group combined ratio was 96.5%, slightly above guidance, and 95.7% at insurance units mainly due to high nat cat activity during this quarter.  Also, I have to remind you the provision for early retirement booked in the second quarter. Excluding this provision, the combined ratio would be 95.8% for the group, 94.8% at the insurance unit and the expense ratio would be 28% with a nearly 1 percentage point reduction. As a conclusion, we are on track to meet the 95% guidance, assuming normal cat activity in the fourth quarter.  Mapfre's net result is €524 million, up over 16%, in line with the €700 million guidance for the year-end. The ROE excluding goodwill write-downs is 8.6%, slightly above the guidance of 8.5%.  And finally, shareholders' equity slightly down on the year, mainly due to the reduction of unrealized capital gains on the available for sale portfolio.  On this slide, I will take you through the breakdown of the adjusted attributable result. Regarding nat cat claims, it was an active quarter. We had smaller impacts from Storm Volker and Hurricane Ida, but we have considered these claims business as usual.  On the other hand, Storm Bernd in Central Europe in July, which was initially considered as a mid-sized event, has become of the largest cat events in Europe, with a €92 million impact for Mapfre. We have reached the priority limit, €125 million. So we will not be affected by any potential negative loss development from this claim.  Furthermore, a second layer of cat coverage, what we call the frequent cover, the frequency cover has also been triggered. Therefore, potential impact from any single relevant event will have a quite limited impact on P&L.  In previous quarters, we didn't consider the different COVID impacts at insurance operations as extraordinary due to their offsetting nature. This year, most of the COVID impacts in non-life lines remain neutral. But COVID related life protection claims are being considered as a large loss, particularly in Latin America. So, we are disclosing the effect for both years. The impact of COVID claims, including insurance and reinsurance, reached €107 million as of September, €23 million higher than last year, but lower than the quarter. Our investment portfolio was well positioned to take advantage of the favorable financial markets to offset these losses. As a result, realized gains are up over €76 million.  The line other has contributed positively, mainly due to asset sales and the release of [indiscernible] provision in Spain, which were communicated in the second quarter. You can see the details on the slide. In 2020, other items included a provision for a restructuring.  Excluding these impacts, the adjusted net result was €623 million, slightly higher than last year. And regarding the third quarter, the €210 million adjusted result is down compared to the second quarter due to the uptick in motor frequency.  Finally, I would like to mention that this quarter reflects a €20 million contribution from BANKIA's second and third quarter results, stemming from the change in accounting treatment following conversations with regulators. The change is a consequence of the length of the process and the majority voting rights still held by Mapfre.  On this slide, we show the main trends this quarter. I would like to highlight the positive performance in Iberia. Premiums are up over 7% and we are outperforming the market in both life and key non-life segments, recovering the leading position. We are growing 1% in motor while the market is down by a similar amount. And the number of units, continuously strong, up 3.6%. Growth is also robust in other segments. Health is growing nearly 10%. Condominiums is up 6% and commercial lines nearly 10%. The combined ratio remains strong at 96% despite an uptick in mobility and motor frequency during the quarter.  In Brazil, currency headwinds are still relevant, but improving significantly with average real change rates down 8%. Premiums are up over 16% in local currency, with healthy growth trends in agro, motor and life protection.  The €31 million decrease in the attributable result is mainly due to still high COVID related life protection claims. The combined ratio remains strong at 87%, slightly higher than last year, driven by the uptick in motor frequency.  The economic outlook continues to improve, with growth in consumption and exports [indiscernible] up. The currency is improving, but with high volatility while we're keeping an eye on inflation trends.  Premiums in LatAm South grew around 7% in euros and premiums in LatAm North are up over 44%, 5% excluding the large multiyear policy in Mexico. Local currency growth was solid in most segments. And it's worth mentioning Colombia, up 30%; Peru, up over 15%; and Panama up 8%. Combined ratios in both regions remain at good levels, with some deterioration in LatAm North due to COVID-related claims affecting health, as well as the uptick in motor frequency.  Performance in North America has been affected by currency depreciation, with average dollar exchange rates down around 5%. The combined ratio is in line with the previous year and investment results have been strong.  In the US, we should expect new business to catch up as the economy continues to recover. In Eurasia, premiums are down due to the non-renewal of the dealership channel in Italy, as well as some depreciation of the Turkish lira. All countries have contributed positively to results, except Italy, who was affected by hailstones during the quarter and also high expenses that still need to be adapted, as we mentioned in previous results presentation, to the new a business model.  At Mapfre RE, premiums are also up, supported by positive pricing trends. The combined ratio is down over 4 percentage points year-on-year at 98.5 despite the high nat cat activity. The net result is up significantly and the unit has shown a high level of financial flexibility, realizing investment gains to offset this impact. Furthermore, the turnaround in global risks is evident, with results up over €20 million year-on-year.  In the system business, volumes are down 18% as we continue with our streamlining process. Regarding result, we're very close to breakeven, reporting a slight profit during the last two quarters. As a reminder, last year was strongly affected by travel cancellation claims. And this quarter there was a positive €5 million impact from the closing of InsureandGo in the UK.  On this slide, I would like to comment on the life business at insurance units. In Iberia, premium performance has been outstanding, thanks to the rollover of product maturities with a focus on unit-linked and also several large single premiums, policies that were issued during the quarter.  In Brazil, premiums were affected by currency depreciation, while local currency growth was healthy, with improving trends throughout the year in both channels. The life attributable result is down, mainly due to strong impact from COVID claims in LatAm. Mortality in Brazil has declined continuously since June and is now at the lowest level since November 2020. Situation in Mexico, Colombia and Peru is also improving. Just as a reminder, the result in Iberia is up significantly due to the already mentioned release of [indiscernible] provision.  On the right, you can see the quarterly evolution of the impact of COVID-related life protection claims in the region. There was a total impact of €92 million, of which €43 million were in Brazil. Mexico, Colombia and Peru were also strongly affected. The third quarter impact was lower than the previous quarter. With September data, it seems that we have past the peak. Average cases and death figures are beginning to come down, which makes us more optimistic about the outlook for the coming quarters.  Now I will move on to the balance sheet and capital. This slide includes a full disclosure of the breakdown and variation of the investment portfolio and total assets under management.  Spanish sovereign debt continues to be our largest exposure, now €12.4 billion, and Italian debt with €2.8 billion is the second largest. Both service are mainly allocated to immunize the portfolios.  The investment portfolio is slightly up, mainly due to the rally in equity markets, which helped mitigate the fall in fixed income investments due to higher yields, with the Spanish sovereign up over 40 basis points year-to-date.  Pension and mutual funds have had strong performance, growing 7% and 14% respectively, both due to market movements, as well as positive net contribution of €104 million in pension funds and €290 million in mutual funds at the end of September.  On the top left are the details of our Euro area actively managed fixed income portfolios. Market value of these portfolios is around €12.6 billion. Then our life portfolio has an accounting yield of around 1.5%, down only 15 basis points year-to-date. The life portfolio has a yield of a little under 3.5%, down 20 basis points. The fall in yields is consistent with the reduction in duration in both portfolios. Duration in life is now at 7.8, around 4.5 years excluding the burial segment, which as you know is a long tail business. While in the life portfolio, duration is 6.8.  On the bottom left, you can see the details of the fixed income portfolios in other markets, with portfolio yields up around 50 basis points in Brazil, now at 6.6% and relative stability in North America. Realized gains and losses in actively managed portfolios in the euro area were around €96 million, significantly up year-on-year and on the quarter as well as we took advantage of favorable equity markets to realize gains to compensate nat cat losses. At the end of September, there were still €85 million of unrealized gains in equity and investment funds in our actively managed portfolio in Iberia and Mapfre RE.  Shareholders' equity stood at a little under €8.5 billion, slightly down on the quarter. Currency conversion differences were relatively stable in the quarter, but up €113 million euros on the year, stemming from a notable appreciation of the US dollar, together with stability in the Brazilian real.  Net unrealized gains on the available for sale portfolio were down €397 million on the year due to rising yields. The breakdown by region, which is new information we're disclosing, is as follows. LatAm with a fall of €151 million years, Iberia with €136 million, and Mapfre RE with €57 million, and North America with €50 million. As you can see, Iberia's impact has been limited due to a high degree of immunization of life portfolios as well as profit sharing. There was also a €92 million negative adjustment against reserves due to the acquisition of minorities in Mapfre Peru Vida in the third quarter, which is reflected in the line other.  The breakdown of currency conversion differences and currency movements are shown in the table on the right along with a standard sensitivity analysis. On the chart on the left, you can see the breakdown of the capital structure, which amounted to €13 billion, of which over three quarters is equity.  Leverage is slightly up on the quarter, around 24%. The slight increase is mainly due to seasonality. The upstream of dividend forecasts for the fourth quarter should lower leverage and financial needs by year-end.  On the right, you can see the Solvency II figure for June 2021, which were released last month. The ratio sits at 195%, comfortably near the midpoint of our range. The main moves on the quarter were related to the investment portfolio, including the rating downgrade of Colombia, as well as the symmetric adjustment which increased the capital charge for equity.  Before moving on to Q&A session, I would like to make a few closing remarks. First of all, we are very satisfied with the results in Iberia, our largest operation. We have recovered our position as market leader with a strong premium performance and we are well positioned for profitable growth. We're moving ahead with our transformation and digitalization plans to have leaner and more efficient operations.  Profitability is robust in the United States, especially in the Northeast, and we are benefiting from a successful restructuring process. The new agreement with the AAA Club will strengthen our position in this distribution channel.  In Latin America, we successfully adapted our business model to the new environment. The pandemic and economic situation remains challenging, but with a significantly improved outlook.  It was a tough quarter for the reinsurance industry, no doubt, from a nat cat perspective. Mapfre RE still reported resilient results, underpinned by its investment approach and a strong contribution from global risks.  As for BANKIA, the exit process is moving forward and the approval from the competition authority was already granted. Furthermore, we're expecting to receive the independent appraisal value by November. So, if everything goes well as planned, the transaction should close by year-end. As usual, we will keep you updated with any further developments.  In conclusion, it has been another positive quarter, showing growth in premiums and results in a more positive scenario [indiscernible] coming from the economic environment. Volatility in combined ratios will remain in the short term across different segments and geographies as activity continues to normalize with an expected neutral impact on the underwriting results. In the medium and long term, future tariffs will be adapted to reflect changes in underwriting trends and risk profiles.  We are on the right path to meet our 2021 commitments, and so far, we haven't seen any evidence that jeopardizes this guidance. The interim dividend of €0.06 is proof that we're committed to return to a sustainable dividend path.  Thank you again. I will now hand the call over to Felipe to begin the Q&A.
A - Felipe Navarro: Thank you. Thank you very much, Fernando, for this very complete and deep explanation of the results. So, we move now for the Q&A. First one is from Maksym Mishyn from JB Capital. Do you see risks on the non-life claims is inflation persists and logistics costs remain high? Which segments could be the most impacted?
Fernando Mata: Well, we had to analyze this inflationary risk for both line of business. Regarding auto, as we already mentioned, we're very well protected. We've got a wonderful garage network, preferred garage network, with significant reduction in cost when we compare to standard garages. And also, we have [indiscernible] agreement, which is fixed for this year. There is no adaptation to inflation rate at year end. And also, we are directed most of claims to these preferred garages. According with the data from the last month, I guess they're like 90% -- correct if I am wrong. 90% of the car crashes are directed to preferred garage network. So, from this side, I don't see inflationary rates affecting motor line. Other such as health, and we mentioned at the June presentation, we really noticed a significant increase in hospitals bills. The rate increased due to the COVID scenario. And also, the average cost from medical services increased as well due to the additional tests carried out in this COVID environment.  Fortunately, this trend has changed. And average cost, that coming to normality. Even though we should expect a significant increase in health for renewals, as you probably read in the paper, in the Spanish paper, affecting civil servants and also which is by far is the largest policy in Spain, but also affecting normal personal policies.  The remaining particularly commercial lines, I don't see any inflationary risk. And just as a conclusion, if you look back for the last 10 years, motor line has been extremely competitive. And also, there is a lot of transparent basically derived from price comparison sites. So, for the last 10 years, most of the efficiencies in cost were automatically transferred to prices, and so has been in relative terms a reduction in the average premium for auto for the last 10 years. So, we should see a similar trend. And let's say that, as a general rule, we expect the sector assuming part of the inflation cost and transferring only a small part of inflation to rates.
Felipe Navarro: We have another question coming from the same person from JB Capital. No, sorry. From Ivan Bokhmat from Barclays. We have seen a variation in the combined ratio in Iberia in the third quarter 2021. Same trend that some of your peers have experienced already. How much of that comes from the accident frequency normalizing? Can you update us on claims inflation and pricing in motor and other PC lines?
Fernando Mata: I'm going to take first the last one. Regarding trends in pricing, and also talking on motor line business, as you remember, last year, we implemented a sort of individual discount policy for good policyholders in order to retain and reduce any potential churn amid the COVID scenario. These discounts all came to an end at the end of 2020. But obviously, this reduction in premiums is also being a carryover for end premiums in 2021, also affecting the combined ratio. Let's say that, as a general rule, rates has come to normality and we should – this reduction in earned premiums to phase out for the coming months. Regarding loss ratio, and I know that some of the peers, they already make – they've already made comments on that topic. We are a little bit different. Regarding average cost, we haven't seen any change in previous metrics. So, practically, we're close to zero in terms of variation.  Regarding frequency, you're right, it's quite similar to the increase in mobility. But I would like to give an additional comment on this. Most of the increase in the frequency – on the reported claims are a small scratches, affecting physical damage for the full cover policies. But we understand there have been a fight with the company due to some reduction on coverage. It's a trend that we've seen in the past as well in time of restriction or economic unrest. And we see some change from full cover to full cover with deductions on – sorry, with deductibles and also from full cover to basic policies on the TPL.  So, let's say that the – it seems to be a sort of catch up efforts as some of these claims are coming from previous months and the claims before switching from coverage from other careers or to other carriers. What they want is just to leave the car in perfect conditions before reducing coverage and their policies.  So, my conclusion is that the sum or part of this increasing frequency is temporary and it should phase out in the coming quarter. But, obviously, there is an increase in frequency as we've seen in other peers.
Felipe Navarro: Now, Maks from JB Capital. Do you continue to see pressure in premiums in motor insurance in Spain? Are they easing?
Fernando Mata: Well, more than pressure on premiums, which has existed since ever in Spanish motor market, what we've seen is a reduction in coverage and also switching to other carriers which is normally in economic scenarios like the one we're living. I guess it's also related to the age of the Spanish fleet, is almost 13 years old if I remember well, and is basically due to the reduction in new car sales. [indiscernible] if you look at our policies for cars older than seven years. So, our policyholders remaining within Mapfre and they change to lower and simpler policies in order to reduce the bill. So, this is the basic, let's say, new trend that we've seen in this quarter and probably remain for the fourth quarter as well and some months.
Felipe Navarro: Basically, there's not such a war on the – or softening in the market that we can translate into war pricing.
Fernando Mata: I don't see a war price currently. A lot of pressure on – I will say on coverages, switching from full cover to simpler policies.
Felipe Navarro: There is a question from Mario Ropero from Bestinver and he's asking about what can we expect from the La Palma eruption, this volcano that erupted in the Canary Islands and which is mainly covered – it's all covered by the [indiscernible]. So, any other consequence for the…?
Fernando Mata: Not really. It's part of the social aid we granted to some of our policyholders with properties insuring Mapfre and we granted a 9,000 indemnity for those that didn't lose their properties. And Mapfre has quite a significant market share in the Canary Islands. And as has happened in other cat events and Mapfre will be close to their policyholders in order to provide the help they need.
Felipe Navarro: Farquhar Murray from Autonomous has a question on COVID. In broad terms, what is the net balance of COVID impacts in the primary insurance business between positives from frequency versus negatives from mortality? He says that he thinks that previously the suggestion was being that, on the balance – they were around almost balanced. And now it feels that these are presumably a net negative for the nine months 2021. We can have some kind of color on this effect.
Fernando Mata: This is a quite interesting question. As we've mentioned in previous presentation, it's extremely difficult to isolate or differentiate those improvements in combined ratio due to efficiencies or better underwriting policies implemented in the auto lines and differentiate from the lockdown or the confinement or the lack of mobility. As we mentioned in previous presentation, we understand that the – both negative and positive effects from the pandemic were neutral in 2020. And also, during the first half of 2021 was sort of neutral. I wouldn't say that in the third quarter as we presented the numbers. And we expected an uptick in life protection, particularly in LatAm because of the lack of – the small pace of vaccination and the lack of vaccines. But the third quarter was a surprise. And let's say that the third quarter was [ph] a symmetric effect. And I will say that it's a little bit negative from life protection.
Felipe Navarro: Could we define the third quarter as a transitional quarter between…?
Fernando Mata: Yeah, I guess. It's quite different from different geographies because in LatAm South, there is still some countries – you just see the financial report, with combined ratios below 90 which is amazing in these conditions, even recovering mobility. Other countries such as Brazil or Spain, combined ratio in automobile is around 100. And so, there is a lot of moving parts of it in different geographies and different lines as well. This is a transitional quarter, as Felipe said. And we've seen recovery in mobility, reduction in other lines as well and increases in – particularly in life protection. But as I mentioned in the wrap up, we should expect those lines and those combined ratios to convert into standards in the coming month – in the coming quarter, sorry.
Felipe Navarro: Next question is related with dividends. It's Ivan Bokhmat from Barclays. He's asking, can you remind us intention regarding the dividend? Is it return to 2019 level with €0.14 per share?
Fernando Mata: Ivan, this is a – at this moment, it's a difficult question. And it can be answered. We've returned to the same interim dividend, €0.06. It is the first step to return to sustainable dividend path. And once we finished this year and we meet the guidance, I think we will be a big push and probably another step to return to this dividend path. The final amount, we had to wait just the board at the beginning of next year just to know the final decisions. But we're pretty committed with investors and we will come back to this sustainable path as soon as possible. That's what we mentioned and we stick to this policy.
Felipe Navarro: Max from JB Capital. Could you update us on how you plan to replace the business volumes lost due to the end of BANKIA Mapfre JV?
Fernando Mata: Well, organic growth. A big push from Santander. Any potential market opportunity we can get it. Mapfre is growing very, very well. And 7% in Spain. I think with this growth, we offset any lack of new business from BANKIA. And we do not worry with the situation. [indiscernible] very important channel. What Mapfre has shown that with this extraordinary performance in premiums growth is that we are able to offset any potential lack of – or any distribution channel that could lower their expectations
Felipe Navarro: It's very important to speak about the extremely resilience of the organic business now of Iberia that is ready to offset any other big effect like the one of losing the BANKIA's network.
Fernando Mata: If you can have a look into the financial report, life Mapfre Vida, you see the extraordinary premium growth from the Mapfre's network compared to the bancassurance distribution channel. So, let's say that this is a very important distribution channel that we have to optimize in this situation and also [indiscernible] in value, which is very important.
Felipe Navarro: We have another question for you related with three activities coming from Phil Ross from Mediobanca. Can you recap on reinsurance, please? You mentioned the €125 million limit with a reference to the €92 million Storm Bernd loss. And secondly, have you recognized some benefit on third quarter from frequency cover? Do you anticipate an impact on your reinsurance retro buying next year? It's quite a complex question.
Fernando Mata: Yes, you're right. We hit the priority limit which is €125 million with Storm Bernd. So, we booked a recovery from reinsurers for this particular event.  Regarding the impact in our next year cost of production, probably we can see an increase. But in any case, we've got an increase for our retrofit business, we will pass it to our seeded entities as well. 
Felipe Navarro: It's normal with a hardening of the insurance market that we will be able to pass this kind of…
Fernando Mata: In the end, it will be neutral. 
Felipe Navarro: And just one comment on the €125 million and €92 million is the net retention of the same thing.
Fernando Mata: That's correct. €92 million effect is without taxes and minorities. So, in the end, it's the net effect of the gross €125 million.
Felipe Navarro: Another one coming from JB Capital, Max is asking how should we see premiums of Mapfre RE evolving in 2022 after – I say that after this excellent increase in during the during 2021.
Fernando Mata: At this moment, we are at an earlier stage in order to give you a more color regarding 2022. But we should expect, let's say, a moderate increase. Renewals for mid-year, they were pretty good in terms of rates. And we should expect a similar scenario for next year.
Felipe Navarro: Ivan from Barclays is asking another question related with BANKIA. Was the €24.4 million one-off from the inclusion of BANKIA second quarter and third quarter result in the third quarter included in the life business result during these quarters?  I'm going to try to explain this. As Fernando said, we made an adjustment on the third quarter in the result of BANKIA because of the change in the accounting way that we were recognizing this result. So there's a full disclosure of the figures in the final report that's, I think, in page 22. That says that the €20.4 million figures is after tax. And minorities, consider our 51% stake. So, you need to gross it up and to add the minorities in order to make the total figures.  Throughout the entire year, the results of the life business included 100% of the result of these entities. So if you look at the total profit and loss account on the balance sheet, you'll see 100% of this entity with before taxes and minorities. So, it was only on the last the last line that you will see the adjustment.
Fernando Mata: If I may add something regarding this, just to put some clarity or additional clarity to the situation, we booked following the accounting policy that we were told to and before presenting results of June, we called regulators and we presented basically the shareholder agreement with BANKIA. And also, we concluded the attributable result for the 51% shareholding of Mapfre should be fully allocated to Caixa. But then, due to the length of the process and also because the members of the board representing Mapfre at the board didn't step down, and so we held the majority of votes at the board. It was raised that we should the book again and reflect in the attributable results the 51% shareholding of Mapfre as a profit contribution. And also with the agreement of the external auditors. And we again back to the regulators said that we should change the profit contribution from BANKIA in the third quarter. And they fully agreed. So, sorry for the confusion. But we did what we were told to. And that was pretty clear.
Felipe Navarro: Carlos Peixoto from CaixaBank has a question on Spanish combined ratio. What are the expectations of the evolution of the combined ratios in the different Spanish business lines?
Fernando Mata: Carlos, that's extremely difficult answer. We should expect a lot of moving parts as I already mentioned. The third quarter has been a transitional quarter. We should weigh some increasing in frequency, particularly in auto in the coming quarter. But we should reflect as well an increase in premiums earned from the increase in rates or the absence of discounts and rebates. And then, the remaining lines, I guess we shouldn't expect no significant changes. That's basically my view.
Felipe Navarro: Ivan Bokhmat from Barclays. Can you provide an update on BANKIA Mapfre Vida joint venture? Is the deal completion still expected for 2021? I think that Fernando was quite clear during the presentation. He said that we were expecting in November the final appraisal from the from the external appraiser. And that would give us to expect that everything will be completed by 2021. I don't know, Fernando, if you want to…
Fernando Mata: This is our expectation from side, but let me tell you as well that I've read the paper probably – assuming that the paper is correct. But the similar statement was made by Gortazar, the CEO of Caixa, saying that the – it should be expected this deal completion by year-end, should be completed.
Felipe Navarro: It seems that we don't have any further questions. So, just one more. Carlos Peixoto from CaixaBank asks about the expectation on nat cat losses on the fourth quarter.
Fernando Mata: Well, nobody knows what is going to happen. So far, in the Atlantic, it's been a quiet season from hurricanes. Earthquakes, there is still a risk in any territory we are operating. But since the frequency coverage has been already triggered, as I said at the presentation, the net effect of any individual cat event would be pretty reduced.
Felipe Navarro: So, that allows us to have some kind of visibility or peace of mind related with this kind of frequency cover that you were mentioning.  There is another question on global risks. Global risks had a good quarter with lower volatility [indiscernible] losses. What should we expect going forward?
Fernando Mata: A couple of years ago, we implemented a new change in order to lower retention in global risk business and also increase the commissions. So, the current quarter and also previous quarter are reflecting this change. So, a lower impact from losses and a more stability in results. So, let's say that we put a cap in order to reduce losses and also to increase gains, but we are quite comfortable with this reduction in exposure in global risks.
Felipe Navarro: It's quite a successful operation right now.
Fernando Mata: Absolutely.
Felipe Navarro: Farquhar from Autonomous on 2021 guidance. Does this guidance include BANKIA which is now the headline figures a little longer? And are we still only adjusting for nat cat which would seem to imply that we are not adjusting for the COVID related claims in arriving to the guidance figure?
Fernando Mata: This is a question raised many, many times where we mentioned the guidance. The first and part of the second quarter results contributed by BANKIA was included in the guidance. Obviously, the first quarter pertained to Mapfre. And the second quarter – part of the second quarter because, at that point, we published the guidance. We didn't know what was the right moment when the board of director representing Mapfre will step down. So, we assume that part of the profit for the second quarter will be included in the quarter. Actually, with the new accounting policy, let's say that – if we assume that the second quarter was included or part of the second quarter was included in the guidance, the third quarter wasn't included in the guidance. What we're doing with this new accounting treatment is just anticipate part of the capital gain where we will book when the transaction is completed because the net equity doesn't change. It is the same as the transition date, which is the 31st of March. And the only thing we're doing is adding to this net equity, the profit contribution for Mapfre. That's pretty simple.
Felipe Navarro: From Ivan Bokhmat from Barclays. Can you offer any early thoughts on IFRS 17?
Fernando Mata: We're working on this project with external advisors. The project has had a lot of ups and downs. And provisional figures, they're not ready yet, Ivan. Let's say, our external advisors – we're working with Deloitte, EY and also with SAP and we believe that at the end of – probably after summer, we will be able to give you more color on this topic. : Philip Ross from Mediobanca together with Carlos Peixoto that has a similar interest on global risks. We already said that it was a good contributor to the results. What could we expect going forward? Is this going to provide a lot of volatility to our results or the way of managing of global risk has changed?
Fernando Mata: We should be a more normalized and stabilization in loss ratio. We've reduced our risk appetite. We reduced retention as well, increase commissions as we mentioned. So, let's say that we are limited in losses and also gains in order to have a narrower variation for profits. So, in the end, I guess that they will be quite similar trend in the future. And also, we didn't renew some large policies with really bad experience in the past when they were loss-making portfolios. So, let's say that we should assume that the current trend for global risks will remain in the near future.
Felipe Navarro: It seems that there are no more questions. So thank you very much, everybody. We've been almost an hour here in this presentation. But before we close the call and moving to – we should move to logistics. I'm sure that most of you have received the invitation, but next Wednesday, November 3, I will be hosting together with the IR team two group meetings. First, there will be a group in Spanish at 9:30 Central European Time followed by another one in English at 3 PM, also Central European Time. Both meetings should last around 40 minutes to an hour. Please make sure that you confirm your attendance using the email invitation you received earlier this week or get in touch with the IR team in order to – if you have any kind of issue. You have the contact details in the presentation. Please stay safe and thank you very much for your time. Fernando?
Fernando Mata: Yeah. Thank you, everybody, again for your presence. Hopefully, you heard from us by year-end in order to give you more information regarding the BANKIA deal completion. We're very well sure that we will finish this deal by year-end. 
Felipe Navarro: Okay, thank you very much, Fernando. Thank you, everybody. 
Fernando Mata: Bye-bye.